Operator: Good day everyone. Thank you for standing by. Welcome to Quebecor Inc.'s Financial Results for the Second Quarter Conference Call. I would like to introduce Hugues Simard, Chief Financial Officer of Quebecor Inc. Please go ahead.
Hugues Simard: Ladies and gentlemen, welcome to the call. My name is Hugues Simard, I'm the CFO and joining me to discuss our financial and operating results for the second quarter of this year is Pierre Karl Péladeau, our President and Chief Executive Officer. Anyone unable to attend the conference call will be able to listen to a recording by telephone or webcast. Access details are available on our website at www.quebecor.com. The recording will be available until November 8th of this year. As usual, I want to inform you that certain statements made today on the call may be considered forward-looking and we would refer you to the risk factors outlined in today's press release and all the other reports filed by the corporation with the regulatory authorities. Let me now turn the floor to Pierre Karl.
Pierre Karl Péladeau: And good morning everyone. So, I'm pleased to report today that Quebecor, in its first quarter of operation overlapping the Freedom acquisition, has generated $625 million in consolidated EBITDA, $20 million more than in the same quarter last year as we maintain our discipline and continue to improve our industry-leading margin. Moreover, despite an expected competitive environment continuing to pressure revenues and while increasing our strategic investment in our networks, our brands and our customer experience, we maintained a stable consolidated cash flow from operation of $450 million in the quarter. Since the acquisition of Freedom Mobile in April 2023, we've spared no effort building our three brands and investing in our networks to offer reliable and affordable wireless services to more Canadians. Today almost 25 million Canadians in Ontario, Manitoba, Alberta, and British Columbia can Freedom themselves of the incumbent's oligopolistic control. Since the acquisition, we have gained more than 300,000 new wireless RGUs and there will be nothing stopping us. Affordability being our key to market share growth since day one, we have recently launched brand new cutting-edge and affordable Freedom Home Internet and Freedom Home TV services. Establishing ourselves as a multiservice player across Canada is a key milestone in our plan to foster healthy competition and give Canadians better telecommunication options at the right price. We are delivering what we said. In wireless, we're pleased with our highest quarterly net additions of 93,000 new RGUs in the second quarter, 44,000 more than in Q2 last year. An exceptional performance outside of the seasonality more active last September of the year. This strong momentum across our footprint is attributable to the superior performance of Freedom, which continue to capitalize on effective market offerings and also to the growing success of our brand Fizz adequately suited to compete against aggressive pricing strategies with our cost-efficient fully-digitalized model. Fizz finalized its beta phase in early April and is now available to more than 21 million Canadians in Quebec, Ontario, Manitoba, Alberta, and British Columbia. You will see more and more Fizz green ads everywhere in major cities across Canada. And green being the color of hope, even more Canadians will be able to hope for truly affordable wireless services onboard by the industry-leading fully digitalized experience. Again we delivered what we said and we expect Fizz to be as successful in English Canada as it had been in Quebec. In our own base of Quebec, we continue to face strong wireless pricing retaliation from the incumbents during the second quarter. We responded by focusing on our proven commercial agility and second-to-none customer experience with our superior gross activation rate and churn management fueling our continued growth in Quebec. As we stated last quarter, we are finding it quite ironic that the incumbents are bringing Freedom prices to Quebec, an historically more competitive and discounted market with established networks, which do not warrant further discounting a move that is simply hurting them to the repricing effect. With the growing success of Freedom and Fizz, consolidated wireless ARPU decreased by $2.45 to $35.32, largely attributable to the dilutive impact of Freedom prepaid services and Fizz's introductory pricing levels, higher promotional discounts and to lower average revenues as our plans are getting richer to the benefit of all Canadian consumers. For a second consecutive quarter, our consolidated churn rate on postpaid customers remained remarkably stable, contrary to the challenging trend seen at our wireless competitors. We are particularly proud of Freedom's churn improvement in just one year in both postpaid and prepaid. This is clearly demonstrating the effectiveness of all our initiatives to offer more affordable, value-added worry-free wireless services on an even more reliable network, which received an impressive, 93% approval rating from our customers as per Léger survey conducted in June 2024. In these times of higher prices everywhere, what a blessing our acquisition of Freedom Mobile must have been for Canadians, significantly lowering their wireless bill. In fact we're pleased very pleased to announce that Videotron has fulfilled all nine undertakings made to Innovation Science and Economic Development Canada, ISED at the time of the Freedom Mobile acquisition on April 3, 2023. In just over a year, our achievements are remarkable. We've maintained the price of wireless plans by introducing a Mobility Price Freeze Guarantee for all current and future customers of Freedom Mobile. We've fueled competition and have lowered wireless prices by offering affordable mobile packages, supported by an enhanced customer experience, which was instrumental in the 20.6% reduction in the wireless component of the Consumer Price Index. We extended Freedom Mobile and Fizz services to Manitoba and other Canadian markets through our MVNO agreements and we are offering low-cost 5G plans to an ever-growing number of Canadians. Speaking of MVNOs, I must call out Bell's continued and systematic obstruction to finalize our MVNO contractual agreements with them. Against the clear guidelines of the MVNO framework, our main competitor is unduly delaying a situation that should have been resolved a long time ago, still forcing us to pay outdated and unfair rates. We are calling on the CRTC to resolve this situation quickly, so we can all go about our business of providing healthy competition as mandated by the Canadian government and authorities. Disrupting the Canadian wireless market was not just a one-off. We just announced a refresh of our range of mobile plans, making it easier for customers to get in on savings without any of the worry. All monthly plans now include 5G access on Freedom's network coverage area. Additionally, traveling and roaming has never been easier and more affordable with no more pesky daily roaming charges when crossing the US and Mexico borders. With Freedom, wireless it's now worry-free. In wireline, we continue to face an aggressive only-in-Quebec price war from our main competitors. We responded with responsible pricing, including adding to forego Internet prices increased this year and reintroduced the rental program of Helix devices. We finished the second quarter with a positive 1,000 Internet customer growth, a good performance compared to the 7,000 decrease last quarter especially in the context of the annual moving season in Quebec and the absence of lift this year from the high-speed Internet project. On that topic, we honestly can't explain Bell's reaction to the CRTC's decision on the FTTP access rates. That decision fixed a wholesale rate of $68.94 plus consumption estimated to around $10 a month for all access up to 1.5 gig. Most incredibly they stated that these prices would force them to reduce their investments while their multiple brands including EBOX, Distributel, Primus, Oricom and many others are offering the service directly to consumers at a price of about 50% of the FTTP access rates. In Quebec, we are seeing atrocious targeted offers where a customer can get bundled services discounted by 50%, while acquisition costs including prepaid gift cards and all other bells and whistles that come with it add up to more than $1,000 per new customer raising serious questions about the return on investment of such a "superior product". It is imperative that the CRTC carefully review and adjust the rates to the market reality for the permanent decision. Turning to our Media segment. TVA Group posted a CAD 17 million favorable change in EBITDA during the second quarter of 2024, due in good part to the CAD 10 million retroactive adjustment to LCN carriage fee and the return of major foreign productions to MELS studios. As for television activity we continue to suffer the repercussions of the decline in advertising revenues and to be confronted with the same major challenges that persist with the media industry. Excluding the one-time retroactive adjustment on carriage fee EBITDA from television activities would have remained negative. We're continuing our ongoing efforts to obtain fair market value for all of our specialty channels as we were able to do with LCN. We're also counting on the CRTC's upcoming arbitration on TVA Sports, carriage fees to finally receive from Bell, the fair value that we have long been demanding. Despite this challenging situation, savings from our reorganization initiatives announced last year are beginning to materialize. Furthermore, TVA Group remains the favorite television channels of Quebecers, thanks to the continued strength of its programming. During the second quarter of 2024 TVA Group increased its market share to 22.5%, a result that keeps us in the lead by a wide margin. TVA Sports experienced exceptional growth of one – share, driven by the broadcast of NHL playoffs and the Euro 2024. Finally, our Sports and Entertainment division put on major shows in the quarter including Queens of the Stone Age, Ice Cube and Monster Spectacular. The second edition of our popular CIGALE festival starting this weekend is fully booked. In June Gestev acquired Evenma a company specializing in the management of popular and corporate events including the famous Festivent and Festibieres. This acquisition marks an important step in Gestev's expansion, strengthening its leading position in the event market. I will now let Hugues review our detailed financial results.
Hugues Simard: Thank you, Pierre Karl. On a consolidated basis in the second quarter of 2024 Quebecor reported revenues of CAD 1.4 billion down 1%; EBITDA of CAD 625 million up 3%; and adjusted cash flows from operations of CAD 450 million down 1% from the same period last year. In our Telecom segment, total revenues decreased by CAD 14 million or 1%, EBITDA remained stable at CAD 608 million and adjusted cash flows from operations were down by 3% to CAD 446 million. Wireless revenues increased by 3% to CAD 558 million in the quarter and wireless EBITDA reached CAD 254 million, a 1% increase reflecting our additional long-term investments to develop customer-centric brands, position them solidly and fuel their growth. As such, our results this quarter reflect us absorbing more domestic and international roaming fees and investing more in branding and advertising for the launch of Fizz and also for Freedom including their recent expansion in all provinces west of Quebec. Telecom CapEx excluding the acquisition of spectrum licenses are up CAD 16 million as compared to the same quarter last year, essentially due to lower investment levels just following the acquisition last year. We now invest more in 5G network expansions, revenue growth opportunities, as well as in wireline equipment rentals but altogether remaining prudent and focused on strategically targeted areas. Our Media segment reported revenues of CAD 184 million, a 2% increase and an EBITDA of CAD 19 million – CAD 19 million improvement compared to the same quarter last year. Sports and Entertainment segment revenues decreased by 7% to CAD 45 million and EBITDA was down CAD 1 million in the quarter. Quebecor reported a net income attributable to shareholders of CAD 208 million in the quarter or CAD 0.90 per share compared to a net income of CAD 174 million or CAD 0.75 per share reported last year. Adjusted income from operating activities excluding unusual items and losses on valuation of financial instruments came in at CAD 205 million or CAD 0.89 per share compared to an adjusted income of CAD 182 million or CAD 0.79 per share in the same quarter last year. For the first six months of the year, Quebecor's revenues were up 9% to CAD 2.7 billion and EBITDA was up 13% to CAD 1.18 billion. EBITDA from our Telecom segment grew 9% to CAD 1.2 billion for the same period, an improvement of CAD 102 million over last year. As of the end of the quarter, Quebecor's net debt-to-EBITDA ratio stood at 3.39 times still the lowest of all our telecom competitors and peers. I would also point out, that we are the only telecom company in Canada to continue to regularly reduce our debt and strengthen our balance sheet thanks to our steady and disciplined cash flow generation capabilities, quarter after quarter. We intend to continue to delever over the next quarters and operate in the low 3s as we have stated before. We were particularly proud that both S&P and Moody's recognized this discipline, and rewarded us with investment-grade ratings in May of this year. I would also like to highlight the success of our recent refinancing, where Videotron issued CAD 600 million and CAD 400 million of senior notes in the Canadian investment-grade market yielding respectively, 4.65% and 5%. The proceeds were used to repay existing indebtedness, which included a portion of the revolving facility drawings, under Videotron's credit agreement and also the redemption of at maturity of Videotron's 5.375% senior notes. On June 25th of this year at maturity, Quebecor exercised its Share Redemption Payment Right and redeemed all issued and outstanding 4% convertible debentures. This decision aligns with our prudent balance sheet management strategy, and our commitment to further reducing our debt leverage ratio. Available liquidity of more than CAD 2.1 billion at the end of the quarter, and our growing free cash flows will allow us to continue to improve our already very strong balance sheet. During the first six months of the year, we purchased and cancelled 940,000 Class B shares for a total investment of CAD 28 million. Please note, that the Board of Directors also approved upon termination of this year's program, the renewal of the program for an additional year. We thank you for your attention and will now open the lines for your questions.
Operator: [Operator Instructions] The first question is from Vince Valentini from TD Cowen. Please go ahead.
Q – Vince Valentini: Hey, thanks so much. Let me, start with wireless. So sub adds have now exceeded 300,000 for the past 12 months, which is excellent. Do you think that's a good run rate volume, Pierre Karl? Are you happy with that level or do you think there has to be a lot of harder work and more marketing investment to perhaps drive that to CAD 350,000 or CAD 400,000, per year? And then on the back end of that, can you talk about the ARPU decline and whether you're satisfied with that given the volume growth? Or would you rather see -- not that it's fully in your control, but would you rather see a bit more of a balance there and get your ARPU back up to CAD 36 CAD 37 over time, as well as the volume growth? Thanks.[Technical Difficulty]
Operator: All right, Thank you, Vince. The next question is from Maher Yaghi from Scotiabank. Please go ahead, Maher.
Q – Maher Yaghi: No, there was a problem with the answer wasn't it? I didn't hear the answer. Did you hear the answer, Vince?
Pierre Karl Péladeau: Oh, I'm sorry, I was muted.
Q – Maher Yaghi: Yes. Okay.
Pierre Karl Péladeau: Can you hear me now? Sorry Vince I was muted.
Operator: Okay. Vince, if you could press star one more time please.
Pierre Karl Péladeau: Operator, can you hear me?
Operator: Yes, I can. I'm going to open up Vince's line. Maher, after this, if you could just press star one more time, please. Thank you
Pierre Karl Péladeau: Now what I will do is, I will answer Vince's question Okay. First before going to, Maher. So what I was saying Vince, sorry, I was muted that we're always be happy to see our growth in RGUs going in the right direction. We've been seeing improvement quarter after quarter. I think that we should be even more successful, given that our footprint is getting bigger. Our marketing efforts are also stronger, and our services are more numerous given our capacity now to offer the Internet and the television, with Freedom on a larger scale in our brands with Fizz, which also is going there. So if we can get better than CAD 93,000 both Videotron and Freedom or what we call West of Quebec, we will continue to be happy. And this is certainly something that we're looking for. Operator?
Operator: Yes. Answer
Pierre Karl Péladeau: We can go to the next question.
Operator: All right, Maher, you go ahead.
Maher Yaghi: Yes, thank you. Can you hear me?
Pierre Karl Péladeau: Yes, I can.
Maher Yaghi: Okay, great. Thank you for taking my question guys. So I wanted to ask you just a follow-up to Vince's question. You have been very aggressive on price plans and granted this is a fundamental condition for acquiring Freedom and to gain market share. I wanted to ask if there's anything you can do to add value to your plans to potentially begin to get a higher price point on these services. Seems to me, everybody is focusing on just selling capacity right now in Canada. The product continues to be commoditized. Anything we can do to add value to customers and potentially get upside revenues from these services? And just on the Videotron side, you held your position quite well in a very aggressive push by BCE in Quebec. As you mentioned, the pricing they're very aggressive on price. I wanted to ask, how much do you believe the ARPU decline that we saw in the quarter on your broadband services is now starting to reflect the price lock guarantees that you have and the conversions you're doing on Helix i.e., how much further can we expect ARPU pressure on broadband to continue before we see some stabilization? And maybe if I can squeeze one last one on free cash flow. Are you still targeting the $1 billion for the year? Thank you.
Pierre Karl Péladeau: Okay. Thank you, Maher. I will answer the first question and Hugues will do for the wireline and the free cash flow. So, you were asking or talking about the value-adding on let's call it telecom services because it's more than wireless. And I think I should repeat that we're not going to commoditize since we've been adding and this is certainly something that we've been successful in Quebec. And this is also something that the Competition Bureau raised during their analysis where they were saying that, if you can't get bundles, if you can't offer bundles you're not going to be competitive. So the answer is clearly no, because we will continue to offer standalone services as we've been doing with Fizz and for which we've been quite successful in Quebec despite the fact that it was only a wireless service. So we can say the same now with the Fizz launch West of Quebec on top of which now we're offering also other telecom services, video and Internet. We all know that being a TPIA is certainly not the model that we would favor, but we're not going to build a nationwide network and those rules are the ones that is regulated in Canada. We expect to use them as we've been seeing TPIAs using our own networks for many, many, many years. In fact in Quebec, we've been seeing much more TPIAs than everywhere else in Canada. So probably now the time had come to see other operators being able also to offer on a TPIA basis telecom services and this is where we are. Finally, I would say that I can't -- not emphasizing the fact that Fizz is a highly value-added product. Yes, it's cheaper than other products, but it's fully digital and you can order what you want. You can keep your gig. This is something brand new. No one is able to offer this. So, when we talk about value-adding telecom services I think Fizz is one of the greatest examples if not the only right now. So, I will let Hugues talk about wireline.
Hugues Simard: Yes. So to answer your specific question Maher, there's no price freeze on wireline. We only offer that in wireless, so there's absolutely no impact from that on the RPU. A good part of the revenue decrease in wireline this quarter has to do because we're comparing ourselves to the same quarter last year when we had annual increases and a good chunk of that difference lies right there where we didn't -- as we said in our introductory remarks, we're fighting an aggressive wireline competitor in Quebec and did not proceed with annual increases this year, so now we're lapping over that. And that's most of that difference. In terms of cash flow, yes, we're reaffirming we're still confident in our objective for the year and I think the numbers are showing even this number while buying back a little more stock paying the second chunk of the 80% of the spectrum, we're still in pretty good shape and our debt is stable and our EBITDA ratio is stable as well and we'll continue to lower later on in the year.
Maher Yaghi: Thank you, Hugues. So should we expect that pricing on the Internet to improve going forward?
Hugues Simard: Who knows?
Pierre Karl Péladeau: Yes. Who knows? But I think that future we'll see. But something I would like to reiterate is that we will always want to be at the forefront of offering to our customers the best service. There is no competition on this. This has been a recipe of our success in the past and will continue to do so, because what we have been seeing is that, yes, we can compare to competition, only pricing competition when you get a better service. And I was emphasizing the fact that they are supposed to be a superior product. I doubt about this because a superior product usually calls for a superior price. It is certainly not something that we're seeing with the Bell pricing.
Maher Yaghi: Thank you.
Operator: Thank you. The next question is from Matthew Griffiths from Bank of America. Please go ahead, Matthew.
Matthew Griffiths: Hi. Good morning. Thanks for taking the question. Just on the Telecom margins, you've been doing a good job of maintaining some margin growth and offsetting some revenue pressure. I think Pierre Karl you were talking about what sounded to me like, you can correct me, sounded like some increased maybe marketing spending. Obviously, there is the ongoing promotional environment. As we look ahead into Q3 and Q4, how should we think about the margin progression for the rest of the year? Should we expect flat would be a success or is there a risk that it ends up getting pressured?
Pierre Karl Péladeau: It is always not a good thing to answer so clearly your question. We just don’t want to give any perspective to our competitors. And therefore, we will keep quiet on this one. But we will continue what we've been doing. And as of now, I think that we should be happy with the delivery we have been able to offer to our shareholders and therefore -- to our customers also, because at the end of the day these are the ones that are taking the decision to move from one very known or knowledgeable operator to a new one. A new one who is coming with something different and who’re talking about, again, value-added and we were the first to introduce Can-US and Can-US-Mexico Roaming Beyond. All those things, it's not just a matter of luck. It's a matter of good execution. We would keep the rest of our strategy inside our own management to deliver to the customer in due time. I am sorry, Matthew. This is the answer I am giving to you.
Matthew Griffiths: Sure. And maybe just one kind of quick follow-up. As you extend service into Manitoba, should we expect that retail distribution network will follow staff like sales staff, customer service staff will follow that entry into the province network building? When should we expect these types of things to begin to materialize?
Pierre Karl Péladeau: Well, we are in the mode of doing it. I referred you to my narrative earlier. Our capital expenditures are growing as you can see. They are more important than when we had for the equivalent last quarter. And again, this has been one of the reasons of our success in Quebec delivering a good product. A good product in wireless goes to wireless. And as you know well and I have been talking about this also, first of all, the MVNO, other people's network, are available. Are they expensive? Yes, they are. And our condition to the spectrum is to build the network and this is what we expect to do. As you know from the beginning of the launch of the license to the end we have seven years to do so. So our plan is to continue to grow. Respecting again Hugues mentioned and I start with a disciplined balance sheet approach. So yes, to me if it means I have been thinking about the 5G. When 5G started many operators thought this would be the end of the world. This would be a revolution. I guess, three years later we are all in agreement to say that this is the normal evolution of wireless services -- from 4G LTE to 5G and 5G Plus. There is not a significant change. Will we continue to invest in our 5G? No doubt, e will continue. But we are not going to get crazy and spend $300 million in a quarter doing this. We will continue to be disciplined. We will improve our network as we have been doing for the last what now it's been almost 18 years we've been in the wireless business.
Matthew Griffiths: Okay. Thanks.
Operator: Thank you. The next question is from Jerome Dubreuil from Desjardins. Please go ahead, Jerome.
Jerome Dubreuil: Good morning. Thanks for taking my questions. First one is on the strong market share that you had in the last two quarters 19% approximately versus if we are only considering the big four in Canada now. And that's before much of the bundling and this is just launching in many new provinces. Where do you ultimately want to go in terms of market share in the markets you are in? Thank you.
Pierre Karl Péladeau: Yes. Thank you, Jerome. It's another way to ask the question which has been asked previously about where would you be satisfied? We will continue to offer our telecom services with good product and good customer service. We have other things that will be available in the future. Again we are not going to talk about our marketing strategy in front of our competitors. So this is where we are Jerome.
Jerome Dubreuil: Fair enough. I get it. Following on to that, maybe just on the Price Freeze Guarantee. I wonder if we should be reading that your call on the general ARPU for wireless in Canada is that it should probably be staying that way for quite a while. Is this something we should read into from that offer you have put in the market?
Pierre Karl Péladeau: Well I would say it depends on the competitive aspect of the business. I should repeat that we met our conditions to ISED. So there is nothing more that we are forced to do. So what will be the takeout out of our different brands? For sure and we experienced this with Fizz in Quebec. This is certainly an aspect or an object which put pressure on our ARPU. But on the other side of the equation I will repeat what I said many times before. To operate Fizz, we do not have the same expenses that we need to have for our other brands. So there is no such a thing like a call center. There is no such a thing as come -- someone that will really need to answer or to take the phone for reconsidering their offer. You do that personally. It is kind of a self-install. Obviously, we are seeing in the wireline business that with the self-install nature of our equipment expenses are going down. This is what we've been able to show you for the last quarter. The other thing also I think that it's worth to mention is that we are going to put more emphasis on selling on the web improve our website, make it more marketable more transactional. And this will obviously get our costs to continue to go down and therefore keep our margins at the highest level as possible regarding the competitive environment that we're facing.
Jerome Dubreuil: Thank you very much.
Pierre Karl Péladeau: Operator?
Operator: Thank you. The next question is from Stephanie Price from CIBC. Please go ahead, Stephanie.
Stephanie Price: Hi. Good morning. I wanted to continue on the Fizz launch in the Freedom footprint. Just thinking about customer differentiation from Freedom and if we should expect that the launch of Fizz gives you the opportunity to reprice Freedom over time?
Pierre Karl Péladeau: Hugues will you answer this? Or maybe I can start by saying again one is completely digital so it's a low cost. We have been pitching our Fizz on a better environment to make sure that our product will be of good quality. We just don't want to launch something that is not working well. As you know, since again that you order through the website we want to make sure that our expectations from a customer standpoint will be high. So the price differentiation is certainly considering this aspect of the business. I do not know, Hugues, if you have other things to add.
Hugues Simard: Just -- simply to say that, Stephanie there is very little difference. Of course, excluding the introductory pricing of Fizz, as we did in Quebec and we did in English Canada, we offer during the beta phase introductory pricing. Now that, that's gone, we're pricing it slightly under Freedom, but not a heck of a lot. So there is little potential or risk for repricing really. And as Pierre Karl said, our approach is more they are different products aimed at different groups and different demographics. And we honestly don't think, there is a huge repricing risk for Freedom on that front.
Stephanie Price: That's good color. Thank you. And then just one more for me on the Internet's bundling rollout in the Freedom footprint, I think right now, it seems like the Freedom Mobile customer it's only available in Ontario. Can you talk a little bit about the Internet bundling strategy moving forward and any plans to offer Internet packages to non-mobile customers?
Hugues Simard: No, it is offered everywhere, so it's not only in Ontario. We are starting though -- to your point we are starting and are still focusing on our base on a wireless base. That's the opportunity for us at this point. And we haven't maximized it. And I think, it's from a strategic standpoint, and from a disciplined rollout strategy, we are still on that huge opportunity that lies with our current wireless customers. And then, we will see how we -- if and when we expand it from there. But right now, it is available everywhere focusing on that sizable opportunity. Don't forget that, that's one of the opportunities we had outlined and we had seen from the beginning when we acquired Freedom is that a lot of people, especially in the target markets in the target demographics and geographies of Freedom, are looking for a bundling deal, and we had nothing to offer them. So, now I think this is the opportunity that we've put in place and we're going to start working on that. And it's obviously, also you will have understood that, it's an important churn play for us, to obviously keep these bundled customers and lower our churn as opposed to having only one product in their hands.
Stephanie Price: Thank you.
Operator: Thank you. The next question is from Aravinda Galappatthige. Please go ahead -- from Canaccord.
Aravinda Galappatthige: Hi. Thanks for taking my question. Two for me. First of all Pierre Karl, you talked about stability of churn in the wireless business. I thought that was interesting given what we have been seeing across the incumbents. Can you maybe elaborate a little bit on that? Are you referring to churn across the market? Is it a segment of your wireless base particularly maybe it's postpaid? I was wondering, if you can build a little bit on that for us. And secondly, Hugues, I was wondering if you can give us a sense of the wireless EBITDA movement in Q2 just for modeling purposes. Thanks.
Pierre Karl Péladeau: Well, we've been seeing since the last 10 days the churn of our competitors has increased. Well certainly, again, it's the reason of the competitive or the consequence of our competitors is the market. They have been offering themselves prices much below their historical ARPU. So at the end of the day it will create a direct effect on them. We'll see how they will position themselves in the future regarding pricing. We can consider that repricing for them has been costly. Will they continue to do so? This we don't have an answer. But again, as we said earlier we'll be ready to all sorts of environments. From our perspective, from our standpoint, since the ARPU of Freedom was lower than the competitors, having a stable one and since our pricing is not significantly or completely different from where it was before, the effect is not creating any incumbencies. So maybe to -- but this is something that, as you know, we don't break down. We have a blended ARPU for Canada. Certainly, it could be different from one region to another, but we're not going to go there. What we expect in the future is to continue, given the actual environment, to see our ARPU in the same bracket that we've been seeing. We look forward to figuring out that this strategy has been, as we've been saying, quite successful with the number of RGUs that we plan for the quarter. I don't know, Hugues, if you have anything else to add.
Hugues Simard: No, no. I think on that question that covers it. I'll just, Aravinda, answer your second question. You were referring to the wireless EBITDA, which is CAD 254 million for the quarter, a 1% increase over last year. So still an increase over and above what we've talked about, knowing that we've invested more in our rollouts, our branding, our advertising, and also absorbing more of the roaming costs in our packages. So over and above all of this, still an increase to CAD 254 million in the quarter.
Aravinda Galappatthige: Thank you very much. I'll pass the line.
Operator: Thank you. Our final question is from Tim Casey from BMO. Please go ahead, Tim.
Tim Casey: Yeah. Thanks. Good morning. Could you talk a little bit about what you're seeing in back-to-school so far since you've introduced the new plans? And Hugues, in the past, you've said that back-to-school is not as important a promotional season for Freedom as others, given pricing. I'm just wondering how your thinking has evolved there. Do you feel that the addition of North American roaming packages is something your customers are responding to, or is it just a mix of all the different channels and offers you have out there? I'm just wondering how important that is. And then, Hugues, a second one for you. In the prepared remarks, you talked about how on the Media side, television is still negative, excluding the game, but that was a pretty decent improvement in EBITDA. Is that being driven solely by restructuring, or are you seeing better financial results out of your non-television businesses on that line? Thank you.
Pierre Karl Péladeau: Hi, Tim. Well, quickly, your question regarding TVA: I mentioned that we've been seeing much higher activity in our studio business. We've been doing business with Apple for Motion Picture and Skydance, which are now over. So that helped us significantly. The advertising market has continued to be tough. We continue to face a decrease on that side of the business. Our restructuring plan is moving ahead quite quickly. We've been almost out of our historical building, Le Journal de Québec, and out of all production matters other than the news and the morning show. We moved into the former building of Le Journal de Montréal, which is more recent and easier to manage. So we look forward to getting all our people by the end of September and early October and being able to finalize our total restructuring in terms of employees, which was announced a couple of months before. So we expect, despite the advertising market continuing to be tough, an improvement from where we were previously. Would you Hugues talk about any questions regarding Telecom?
Hugues Simard : Yes, absolutely. So, yes, back-to-school, it's still early, of course. We've just launched our various plans, but it's certainly starting to resonate. And my comment in the past, Tim, I think, obviously, has to do with we were more disciplined, I think, last year and perhaps the market in general was more disciplined last year than what we had expected. I think back-to-school for us is a huge opportunity, so we'll see how collectively disciplined we are this year. But I think the sign from us certainly didn't light the fire and we're not alone in this, so we'll have to see our competitors react. But the one thing I would point out, as we've pointed out in our scripted remarks is that you guys are aware I'm sure that the fighter brands, Bell and Telus are fighter brands are in the market right now and have been for a few weeks at even lower price points than Freedom. So we'll see how that evolves. But we think that our plans and our strategy for back-to-school is a good one and one that will resonate where we will pick up some profitable growth there. So we'll see. Obviously, we're not in a vacuum. We'll see how our competitors react. But right now we feel that we have the right differentiation from our competitors and that we certainly should be as successful as last year and maybe more. And differentiation, of course, I'm referring to our roaming packages in the U.S., Mexico, et cetera, et cetera. So, that's I think -- yes. Does that answer your question?
Pierre Karl Péladeau : I will add, Tim, to finish our conference call that, again, all the elements that we've been providing to our customers, we prefer the customer service and quality of our products. It is Can-U.S. it is Can-North America, it is Roaming Beyond. All those things bring something that we can consider value-added. And it seems that this is what all Canadians are looking for and certainly a good portion of them. And I guess that is not really different than anywhere else in the world. If you can bring a better product at a better price then you're going to be able to be successful. And finally, I would say on the back-to-school we've been seeing and I mentioned it also crazy things. Do we expect to go there? I would say that with Freedom the famous formula, it's everyday low price with Freedom. It's not something that we're going to focus for two weeks and came back two months later with a price increase. It's a matter of credibility. We've been able to establish our credibility. And at the end of the day, I would say, it continues to work. We've been successful and we'll continue to use the recipes that brought us there.
Tim Casey : Thank you.
Pierre Karl Péladeau : Good. Well, we thank you all for attending our conference call and we look forward to talk to you at our next quarter. So have a nice end of the summer. Thank you.
Hugues Simard: Thank you.
Operator: Ladies and gentlemen, this concludes the Quebecor, Inc's financial results for the second quarter conference call. Thank you for your participation and have a nice day.